Operator: Good day, everyone and welcome to the CBS Corporation Fourth Quarter 2014 Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to the Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead, sir.
Adam Townsend: Good afternoon, everyone, and welcome to our fourth quarter and full year 2014 earnings call. Listening on the phone is Sumner Redstone, our Executive Chairman and joining us for today's remarks are Leslie Moonves, President and CEO; Joe Ianniello, Chief Operating Officer. Les and Joe will discuss the strategic and financial results of the company and then we will then open it up to questions. Please note that during today's conference call, the full year results are discussed on an adjusted basis and fourth quarter 2013 results are compared to adjusted unless otherwise specified. Reconciliations for non-GAAP financial information related to this call can be found on our earnings release or on our website. Also statements on this conference call relating to matters which are not historical facts are forward-looking statements, which involves risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and securities filings. A webcast of this call and earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. With that, it's my pleasure to turn the call over to Les.
Les Moonves: Good afternoon, everyone and thank you for joining us. I'd like to start by saying, how saddened we are, by the sudden passing of Bob Simon, an important member of the CBS News family and the entire CBS organization. Our thoughts with his family as we continue to remember and celebrate his amazing legacy of courage and professionalism. Now we will turn to the task at hand reporting our fourth quarter earnings to you. It is been an excellent quarter and an excellent year. We are very pleased to tell you that CBS kept off 2014 with another record quarter. Revenue of $3.7 billion was up 3% and was our best performance of the year and EPS of $0.77 was up 8%. We've now grown EPS for 20 consecutive quarter, that's five straight years of consistent increases. As we look ahead to 2015 and into 2016, we see terrific opportunities coming our way. Yes, retransmission consent and reverse compensation continue to grow rapidly and yes, since the end of last year the pacing of broadcast advertising has been building week in and week out, but in addition to that, digital distribution service are allowing us to build new and younger audiences all of which we are beginning to monetize. This is happening in the US and it's happening overseas. New market places for companies that create the best content are opening up like never before. Here are just a few recent developments. First we are coming off the year, which we launched five new owned hit across CBS, the CBW and Showtime this will result in yet another wave of monetization opportunities down the road. Next we began a new significant long-term deal with Bell Media in Canada that introduces Showtime as a standalone service outside of the US for the very first time. We are confident this agreement will lead to a new wave of international licensing revenue for our cable segment. In addition, our new streaming services CBS All Access and CBSN have both exceeded our expectations representing additives ways for us to get paid for our existing content. At the same time, out-of-home rights have become more valuable and are now being negotiated with our MVPD partners. Plus, we're just beginning to license the domestic screening rights, for our non-serialized current hit shows like CSI. These new deals represent an extension of our evolving strategy in terms of how we monetize our content. We have hundreds and hundreds of episodes ready to go. So you can imagine, how lucrative this will be. Each of these new developments that I just mentioned, demonstrates the power of owning and creating the best premium content. This is our focus and it will remain so, as we do this returning value to our shareholders is also a top priority. During the fourth quarter, we repurchased $800 million of our stock, which is double what we did in the third quarter and here in the first quarter, we will repurchase $1 billion worth of stock, taking advantage of what we see as a very attractive share price. So that's $1.8 billion of share repurchases in six months. Clearly our commitment to our shareholders is stronger than ever. Now I'm going to give you some highlights about each of our business segment starting with entertainment and then I'll turn it over to Joe to tell you more about our performance, before we take our questions. Once again and you're right, I never get tired of saying this, the CBS Television Network is the most watched network in America and now by more than 2 million viewers per week. In fact, this May we will end the season as the number one network in viewers and 25 to 54 and despite not having the Super Bowl this year, we are very much in the running for the 18 to 49 crown as well. With 15 of the top 20 scripted series. The ones that really matter in syndication. CBS's total is three times all of the other networks combined. Something else that often gets overlooked or misreported is that we have a very balanced schedule of new and established hits. Consider this, off the 15 series in the top 20 that I just mentioned, six have been on the air 3 years or less, five have been on between 4 years and 6 years and four have been on 7 years or more representing some of the most valuable content franchises we own because of that stability of our schedule, we're able to use established hits to launch new content franchises. We put Madam Secretary on between 60 minutes and The Good Wife and hit a home run. We used the number one series NCIS, as they're leading for the new NCIS: New Orleans and it's become televisions number one new series and the most watched freshmen drama or comedy in 10 years. And with Thursday Night Football in our schedule, we were able to move the number one comedy, Big Bang Theory from Thursdays to Mondays of the start of the season, which provided a terrific leading to launch the very successful Scorpion. All three of these new series are top 10 scripted shows and we own 100% of each of them, there is more to come. Next month, we'll be launching our latest CSI Spinoff, CSI: Cyber, starring Golden Globes winner and Academy Award nominee, Patricia Arquette. CSI: Cyber explores the world of internet crime, which is one of most relevant topics out there, right now. Then in May, we'll announce a new schedule that we'll once again build off our number one line up and reload our content pipeline. There won't be a lot of turnover on our schedule, but the new shows we do open will be in protected time period once again giving them an excellent chances at success just as we did last year. Plus this year, we will launch the Late Late show with James Corden in March and the Late Show with Steven Colbert in September. We will own these shows for the first time, which will allow us to monetize late night in all sorts of new ways on a variety of emerging platforms. We will also have the return of Thursday Night Football , which means next year we will have the most powerful NFL schedule anyone has ever had culminating with CBS Broadcast of Super Bowl 50, by the way I'd like to congratulate NBC on achieving the highest rated TV event in history with Super Bowl 49. It's certainly won't hurt our sales for next year, $5 million to $6 million for a 30-second spot sounds pretty good to me. Meanwhile, our advertising picture is being helped by a broadcast marketplace that is been steadily improving week after week since the end of the first quarter. Given that, we're the number one network and that broadcast content has been strong overall, we're not quite seeing the same headwinds as base the cable. As we approach the upfront, the timing of this couldn't be better. I'm not making any predictions because we're just in February, but I feel very confident that we will once again lead the marketplace in pricing and volume and we will also see more advances towards the currency that better represents how people are watching our shows. This means, that the C7 deals will be the most common currency and there will also be deals that are longer than C7. It means the beginning of significant revenue from dynamic ad insertion. The fact is, we're making it easier and easier for viewers to watch our shows on their own timetable and it's paying off. On Monday, we announced that in the most recent week available Elementary added more viewers in 7-day playback than any other show on television. It went from 8 million viewers live to nearly 13 million viewers, when all 7 days were counted. That's about 4.5 million incremental viewers representing a lot of revenue. By the way, six of the top 10 shows that benefited the most from 7-day playback were on CBS. We're constantly finding new ways to offer this delayed viewers to advertisers and as we do, we should see tremendous upside ahead. Technology is also helping our base business in streaming, whereas I mention, we struck a significant deal to license CSI, into domestic SVOD for the first time. Those of you, who have followed us, know that we have taken a strategically conservative approach to streaming past seasons of current shows. Well, we're seeing more and more that streaming the right shows brings new audiences into the mix and then brings those viewers to the screen for the latest episodes and those viewers are often younger and more affluent because our library of current hits is so extensive, we have a lot of upside here. CSI is already a multibillion franchise and new screening deals will only add to that. Going forward, we have the whole NCIS catalogue in our arsenal as well to sell and discussions are already underway to license that show later this year. We are also reaching a new audience for our existing program, through our OTT streaming service CBS All Access. The average age of All Access viewers is considerably younger than network television and as I said, subscription is selling faster than we projected including the biggest surge of signups we've had yet surrounding the Grammies, this past Sunday. With lots of live events on CBS schedule throughout the year and access to more in seasoned CBS Shows than anywhere else, we will continue to grow subs in the quarter ahead. Plus All Access is facilitating new discussions and our retrans and reverse comp negotiations. This includes MVPD's who are increasingly seeking out-of-home rights from us. It also includes discussions that are well underway with our affiliates who are looking to join our O&O's and take part in this additional revenue stream from All Access. Our online news services, CBSN is off to a terrific start as well and there have been some very interesting developments. First while the service is popular on mobile and desktop platform, its largest viewership comes from internet connected TVs such as Roku, where CBSN has been the number one news outlet. We are seeing the most viewers doing breaking news events, which has led to three times as many people watching the live stream versus On Demand overall CBS N is in its early stages but we are very confident we've created a vital new companion to our network news operations at virtually, cost. Before we move to cable, I want to note the CW, is also having a great season is growing from last year in every single one of the demographics. We are especially proud that Jane the Virgin, received Golden Globe nominations for Best Comedy and Best Actress in a Comedy. This CW's first Golden Globe nominations ever. This was followed by the show star, Gina Rodriguez going onto to win the award for best actress in a comedy. That same night, the Golden Globe for Best Actress in the Drama Series and the Best Drama Series went to The Affair on Showtime another one of the own hits that we launched last year. Just as we've done it, the CBS Television we are driving our show time results by adding more owned original programming and monetizing it across platforms. The most significant deal in this regard is our new agreement with Bell Media one of the biggest media companies in Canada, the licensed Showtime. We sold individual Showtime series internationally many times before, but this is the first time the entire Showtime brand is being monetized in this way. And while the deal is financially important in its own right, what's really is encouraging is what is represents going forward. It shows our ability to monetize Showtime as a full network service in many other markets overseas. By the way, the reason we have been able to develop this new revenue stream is because we now own virtually our entire Showtime schedule. In publishing, we are also pleased with the hits that Simon & Schuster is creating. During the quarter, the novel, All the Light We Cannot See by Anthony Doerr was on more best of 2014 list than any other book. Thanks to these end of year accolades sales past 1 million copies in 2014 and have provided a boost here in the first quarter. In addition, following the success of CBS and Simon & Schuster's collaboration on Under the Dome we are now looking forward to the Dovekeepers in April, this CBS mini-series will be based Alice Hoffman's novel and once again, we own it 100%. In our local broadcasting segment, we are able to achieve strong growth with the help of political spending. This was particularly true, at our TV stations which also benefited from healthy gains in NFL sales and retrans. Looking ahead, the 2016 Presidential Election is right around the corner and thank god, The Ranker has already begun. Radio continues also to be profitable. Along with our TV stations, our local segment turned in a 40% margin for the company and we continue to build new audiences in radio by extending our big market content into the digital world. For example, last month we launched the podcasting platform called Play.it. This new platform features content from CBS Radio personality, CBS News, CBS Sports, Simon & Schuster and even outside partners. Plus, we built an ad network that allows sponsor to buy across multiple podcast. So from network to cable television to first-run syndication. From publishing to our local business and certainly at CBS Interactive, we are constantly monetizing our content in new ways that are benefiting our shareholders. Quarter after quarter, year-after-year we've seen how this high margin revenue streams can boost the solid performance of our based resistance and the good news is, that technological innovation continues to work in our favour. This includes the advents of the Over the Top services, the explosion of digital distribution internationally and the new ways we are just beginning to profit from advertising on delayed viewing platforms. In addition, CBS has never been in a stronger position than we are right now, as we progress towards $2 billion in retrans and reverse comp revenue. From Verizon to Time Warner cable to Cox to Dish, to all of our affiliate deals. We have proven time and time again that distributors can't live without CBS. This true for large bundles and small and we don't need any other assets to get these deals done on the best possible terms. The power of our own content drives our success both in negotiations and from an operating perspective as well. So there is no company in a better position to gain from the dynamic shifting market place than CBS and as we do, we remain focused on investing in the best content, controlling cost, enhancing our extremely strong financial position and returning value to our shareholders and with that, I'll turn it over to Joe.
Joe Ianniello: Thanks, Les and good afternoon, everyone. Today, I'm going to give some more details about our fourth quarter results and discuss what we see ahead in Q1, but first I'd like to talk a little more generally about our financial performance and strategy. We grew revenue and EPS in the fourth quarter even as we continue to invest in the future of our company as a content machine. In fact, Q4 was our best ever fourth quarter for EPS. Despite foreign exchange losses that amounted to $0.03 per share and full year EPS also hit a new high and was our fifth straight year of steady increases. It's a true testament to the way, we are executing on our strategy of owning premium content and monetizing around the world on a growing array of platforms. As less said, we've recently created five new hits series across our television and cable network. Meanwhile, technology is evolving in such a way that we are selling our own hits more effectively than ever. New players are constantly coming in to the mix, both domestically and around the world and they're bringing more opportunities our way. In fact, during 2014 we generated more international SVOD revenue by selling to local streaming providers in overseas markets than we did from the two biggest US based SVOD players combined. So the cycle for our must have content will continue which in turn will drive our results in the years ahead. At the same time, we are returning value to shareholders like never before. As you've heard we repurchased $800 million of our stock in the fourth quarter and we're on track to spend another $1 billion on share buybacks here in Q1. Just to give you some perspective over the last two years, we've retired 151 million shares of our stock, which includes 106 million shares that we repurchased for $5.8 billion in cash and another 45 million that we retired in connection with the outdoor split off, that represents 24% of our share base and we still have the way to go. Once we hit the $1 billion in share buybacks in Q1. We'll have $3.8 billion still remaining on our current authorized program and you can be sure that we will continue to be very aggressive and opportunistic in our buybacks going forward. Now, let me get into some more detail about our fourth quarter results. Revenue was up 3% to $3.7 billion during the quarter. Advertising grew 4% driven by Thursday Night Football and political spending at our local stations and network advertising was up 2%. Affiliate and subscription fees grew 11% demonstrating the continue impact of our new retrans and reverse comp deals as well as further growth in our cable network. Content licensing and distribution was down 3%, as you know this revenue stream can fluctuate from quarter-to-quarter depending on when shows are made available. On a full year basis, content licensing and distribution came in at $4 billion matching a very strong year in 2013. OIBDA was down $30 million to $778 million during the quarter because of our higher investment in programming primarily for sports rights and EPS was up 8% to $0.77. As I mentioned, we were able to achieve this despite the FX headwinds during the quarter and for the full year, EPS was up 6% to an all-time high of $2.96. Now let's turn to our operating segment. Entertainment revenue in the fourth quarter grew 2% to $2.3 billion. Driven by increases in ad spending particularly from Thursday Night Football as well as higher affiliate and subscription fee revenue. Entertainment OIBDA declined to $287 million during the quarter again due to our higher investment in sport rights. In Cable fourth quarter revenue up $499 million was up 5%. The increase demonstrates the continued success of our strategy of owning more Showtime original series, which is leading higher licensing fees and increases in rates from affiliates. At the same time, the international appetite for Showtime branded content is a growing opportunity. As evidenced by our new deal in Canada. Cable OIBDA of $247 million was up 24% and our Cable OIBDA margin expanded 8 points to 49% a direct result of the growth of our high margin syndication revenue, as I before we look at our margins on a 12-month basis, so for the year our Cable OIBDA margin expanded more than 2 points to a very strong 46%. Turning to publishing, fourth quarter revenue came in at $215 million down $10 million from 2013, when we had several strong Duck Dynasty titles. In addition to All the Light We Cannot See, best-selling titles for this year's fourth quarter include Revival by Steven King and MONEY, Master the Game, by Tony Robbins. Publishing OIBDA was $27 million also down $10 million from 2013 and for the year, our publishing OIBDA margin was a steady 14%. In local broadcasting fourth quarter revenue was 9% to $785 million. The increase was driven by top higher advertising from political and Thursday Night Football as well as growth in retrans. TV stations were up 15% and radio was up 2%, other strong advertising categories during the quarter included travelling leisure for TV and order when healthcare for radio. Local broadcasting OIBDA grew 19% to $313 million and the OIBDA margins expanded 3 points to 40%. Turning to free cash flow in our balance sheet, free cash flow came in at $880 million compared to $280 million in Q4, 2013. A result of the timing of payment for our new NFL contracts, which we made earlier in the year. We ended 2014 with $428 million of cash on hand and as of December 31, our gross debt-to-OIBDA ratio was just under 2.2 times. As we've said before, we are comfortable raising our target ratio to 2.5 times. Also in January, we issued $1.2 billion in senior notes and we used the majority of these proceeds for stock repurchases here in Q1. Now let me tell you, what we see ahead in the first quarter. Network advertising continues to build off of Q4 levels and scatter pricing is up high single digits over the upfront. TV stations are pacing to be up low single digits in particular we're seeing strength from the healthcare category as well as our big event programming including the Grammy's, the Academy of Country Music Awards and the NCWA Men's Basketball Championships. Meanwhile, radio is also patient to up low single digits. Retrans and reverse comp will continue to ramp up, we have about 17% of our TV stations footprint set to expire later this year and 20% on the reverse comp side. This 20% is in addition to the 25% of our affiliate footprint that we just reset at the end of 2014. Every new deal we do, raises the watermark to a higher level and we look forward to continuing to obtain fair market value for our content as we work towards our goal of achieving or exceeding $2 billion in annual revenue by 2020. At the same time, we will remain vigilant on all cost as we always do. On a side note, now that we no longer have the outdoor advertising business in our portfolio. The GAAP between the run rate of capital spending and depreciation expense has narrowed significantly. So starting in the first quarter of 2015, we will be using operating income as a key metric instead of OIBDA for both our business segments and our company as a whole. So in summary, the media landscape continues to change in new and exciting ways, but one constant holds true. Our strategy of creating and owning of premium must have content will always come out on top. From the CBS Television Network to the CW, to first-run syndication to Showtime, we are producing critically acclaimed and highly rated programming that's in great demand around the world. This leading to an increasing number of new growth opportunities, many of which we are just beginning to realize. So we feel very good about the direction we are headed and we look forward to talking to you all on our next call. So with that, Gwen, let’s open the line for questions.
Operator: [Operator Instructions] we will go first to Ben Swinburne with Morgan Stanley
Ben Swinburne: I've two questions. Les, can you talk about the Dish renewals, whether you're able to set another high watermark and if you got paid for the out-of-home rights and what's your perspective on the PSS outlook? Since I know you feel very confident in CBS position in sort of the new digital environment we are working towards and then I have a follow-up?
Les Moonves: The Dish deal, we don't go into detail about it, but as we've said every deal that we've made is higher than the next deal. We are very happy without the deal ended up, we are sorry we had to go dark for half hour, during that negotiations, but we were very pleased and the out-of-home rights, there is a path to negotiate for them. There is an opening to do it, it's not completed yet and as you all know and every one of these MVPD deals that we do, the out-of-home rights is sort of separate negotiation and as Charlie goes ahead with some of his OTT offerings, there is a path for us to discuss something they have not been done, so far. Regarding the spectrum obviously it's something that we are looking at and we are interested in it.
Ben Swinburne: Yes, that was my follow-up which is on the broadcast incentive auction, now that we've had these big numbers out AWS 3, how are you thinking about potentially looking at that as an opportunity for you guys it seems like it could be a $2 billion opportunity potentially?
Joe Ianniello: Yes, Ben its Joe. I'll take that, look obviously we kept a close eye on the AWS 3 auction that they had and last week, I'm sure you and others saw the updated Greenhill report. So we have lot of stations in our group, if we just looked at the four independence these are the non-CBS or the CW's. We have one in New York, LA, Dallas and Boston. If I just looked at those median values, not the maximum value in that Greenhill report. I mean that totals $2 billion for those four market. So obviously this is a hidden asset within our portfolio. We are looking at it closely. I mean, the financial term I would get it to think about it as a free call option. So we are studying it and we'll as we learn more about the auction and the process, we'll evolve our strategy.
Ben Swinburne: Thank you.
Operator: And we'll go next to Jessica Reif Cohen with Bank of America Merrill Lynch
Jessica Reif Cohen: I've question for, Les. You know with all the major changes that have gone in this industry, there could be some interesting combination for CBS and certainly there is been tons of speculation about what may or may not happen with the company, could you give us your thoughts on how CBS may or may not participate in consolidation?
Les Moonves: Yes, thanks Jessica. Look obviously there is been a ton of noise out there on CNBC and various magazines and newspapers. Our company right now is so strong, some of those who suggest the combination, say I'll give you more clout as the distributors potentially come together. We think we have quite a bit of clout, you know in every negotiation that we've done, be it, Time Warner Cable or Dish or whatever, when you walk in the door with the NFL, with the number one comedy in Big Bang, the number one drama, NCIS, the NCAA Basketball Tournament, we feel pretty good about ourselves as a company. There is a lot of noise and people say, oh! This and that some of it, with mistaken facts frankly. Look, at the end of the day, our board of directors is only going to do, what's good for the shareholder. In other words, we're - we feel good about ourselves. We think our stock price is going to go up considerably over the next few years obviously and the next few months and we're going to take all that into consideration and as we go forward, but as I said we're feeling pretty strong about ourselves and don't need any partners.
Jessica Reif Cohen: Fine. Just a completely separate question, but have you as you know HBO said their OTT service is coming later on the year, have you, can you give us any thoughts on how you're thinking about Showtime?
Les Moonves: Yes, we're obviously looking it at Showtime and the potential for that and there are various permutations that we are working at and we'll probably share as many details with you as HBO did, which is not many at all.
Jessica Reif Cohen: Thank you.
Operator: And we'll go next to David Bank with RBC Capital Markets
David Bank: Couple of sort of penetration question here. Your cable network kind of extraordinary margins way beyond what we were thinking. Can you give us some colour, with respect to the key drivers, was it the deal in Canada, was it a particular content syndication deal, if so, what shows? And as follow-up to your comments on the CSI stuff, Les, what platform did you sell it into and what's the recognition of revenue timing, with they're like 300 episodes of this thing, even with third cycle type pricing. These are some, should be some pretty big numbers. So can you give as a little more colour around it? Thanks.
Joe Ianniello: David, Joe. I'll take the first one for the cable. What's driving that obviously is timing of theoretical releases quarter-over-quarter. So obviously we have benefitted from that and you're also seeing the benefit of owning more shows and so yes, I mean every deal we do internationally and domestically certainly again underscores the value of owning content, so we definitely benefitted from that, but I think again that's why we always say look at the margin on a full year basis and I steer you to the 46% margin as oppose to the 49% margin.
Les Moonves: Yes, David regarding CSI. We haven't yet announced it, there is a deal in place. It will be announced in not too distant future. You're right, it is north of 300 episodes. So the good news is, as we look towards the future that will be accounted. In addition, we have not yet sold NCIS into streaming, that's also hundreds and hundreds of lucrative episodes. So the future for these two franchises which have not yet been introduced into the streaming world, is going to be pretty tremendous throughout the rest of 2015 and beyond. So we are very excited about it and stay tuned for information in the not too distant future.
David Bank: Okay, thank you.
Operator: And we'll go next to Michael Morris with Guggenheim Securities
Michael Morris: Couple questions. First, our network ads Joe you mentioned scatter up high single-digit versus the upfront in the first quarter. Can you talk a little bit whether based on what you can see now, whether you think that will lead to growth, at the network in the first quarter or what the kind of swing factors could be there that you're looking at? And then second of all, on the All Access product, I think that your NFL content is the biggest, most notable that's not on that. Where are you in the process of making that available on the product? And based on the rights that you have with the NFL does it matter whether the product is your own standalone over the top or whether it's a partnership through an MVPD similar to the Sling product, whether or not you can make it available. Thanks.
Les Moonves: Yes, I'll answer the NFL question and let Joe answer the other question. Obviously, NFL is not part of the All Access package. We are talking about, what potential content we can use and obviously with the NFL, we have a relationship with Thursdays and Sundays, so it will be an ongoing situation. Right now, our situation with All Access is obviously it all goes to us. As we negotiate with our affiliates. A piece of that will go to them, which will obviously expand the use of it and I imagine discussion would be, if there was any other platform that became part of it, there would be a potential share on that, but at the moment, that is not part of the game.
Joe Ianniello: Hi, Mike. It's Joe. On the network scatter, so yes scatter again, pricing up high single digits. I mean, we'll see where we end, the quarter. What I'll just tell you, did we expect it to grow? The answers is, yes, we do have one less Playoff game in Q1 of 2015 for the NFL under the new contract and it kind of rotates, we'll get it back in 2016, so it goes in and out. So that's the only kind of really big true comp on a national basis, that will affect the underlying advertising growth rate, but we do expect it to grow.
Michael Morris: Just last to be clear, your ability to show the NFL content on a non-traditional product, is there a difference whether it's a CBS driven product like your All Access versus let's say a product like the Sling over the top service, if your major content available through something like Sling because this is an MVPD would your rights allow you to show that, NFL content?
Joe Ianniello: Mike, its Joe. Let me just give you the detail to that one. The answer is, yes. Like in the Sony OTT deal or in a Dish OTT offering. The NFL is part of the CBS offering that we negotiate with those carriers and we do have those rights, this is slightly different and that's why, Les said those negotiations are ongoing.
Michael Morris: Great, thanks lot guys.
Operator: And we'll go next to David Miller with Topeka Capital Market
David Miller: Les, I'm just curious about what your vision is, say 2 years, 3 years, 5 years down the road for the production studio, the actual CBS TV production studio. I believe you said, 90 days ago or so that you finally sold a show a third party network. So, I mean are you guys taking sort of a game theory approach to this, where say 2 years, 3 years, 4 years down the road, you have kind of like one-third series you buy from other parties, one-third series you manufacture if you will and sell to other parties and then the other third you kind of keep for yourselves or is not that neat and clean? What's in your head with regard to that, CBS Production Studio?
Les Moonves: Yes, it is not that neat and clean. Obviously, in terms of the CBS Television Network, we do have very successful shows from outside studios and we will continue to do that, Big Bang Theory is a Warner Brothers show and it's making us a lot of money and making Warner Brothers a lot of money and that will always be the case, where there is room for top talent at other studios. By the same token, our production load as we mentioned. With CBS, the CW Showtime first-run syndication we're producing north of 30 shows that we own. At this point in time, we have development all over the place with other broadcast networks, with other cable networks and with MVPD's. So our attitude basically is, we're going to be in business with everybody. Ownership becomes more and more important back-end is becoming as important as the front end. So when we look down the road as we mentioned, owning these five shows is going to pay for many, many years to come.
David Miller: Okay, thank you very much.
Operator: And we'll go next to Alexia Quadrani with JP Morgan
Alexia Quadrani: I'm sort of on the same line, so the question of content on the timing for content sales. Maybe it’s rule, it's down 4 years to 5 years out, you're going to syndication, you've got some great shows, obviously they're very young as you mentioned. I guess how should we think about the content sale pipeline for the maybe 6-year or 17 now that these shows are getting sold in this syndication and on much shorter timeframe, and then I'll follow-up, thanks.
Joe Ianniello: Alexia, it's Joe. Here's what we can about that, that's why we always say you know the timing of that you can fluctuate, but I think the true test, if you look at the pipeline and you just said there is more we're constantly reloading it, but I'm going to go through a quick list of shows that haven't gone through syndication yet, so whether it goes 16, 17, 15 you know Elementary, Madam Secretary, Scorpion, NCIS: New Orleans, Beauty and the Beast, Jane the Virgin, Rain, The Affair, Penny Dreadful, Ray Donovan, Masters of Sex, House of Lies, Nurse Jackie. So you see kind of my point, is that we have bunch of stuff that we are producing that hasn't begun to go through the revenue cycle yet.
Alexia Quadrani: Okay that is very helpful and then also a follow-up on your commentary about the very strong demand for international SVOD, I think in 2014 I guess the question is, will that grow year-over-year in 2015 and I guess, SVOD in general both domestic and international just total, SVOD, you'd see those revenues up in 2015.
Joe Ianniello: Yes, again internationally again is I think why we gave that data point, we really found it really telling in that, we focused obviously most of our time in the US opportunity, but when we look abroad the number, that the completion that's there from existing players in new entrants with again, since we own this content, it really opens up whole new marketplace for us that we're really just beginning to tap. So I think, we certainly expect, our international guides know their budget, so they're certainly for significantly more revenue than they generated in 2014.
Alexia Quadrani: Thank you.
Operator: And we'll go next to Anthony DiClemente with Nomura
Anthony DiClemente: I've one for Joe and one for, Les. Joe on the increases that you guys are seeing on retrans and the retrans renewals. As we look out to the first quarter, 2015 in 2015 I would think that the OIBDA dollars from the retrans growth would be more incremental to the model, as oppose to 2014, where lot of that incremental growth was subsumed by or more than subsumed by the program it cost, a uplift from sports and the NFL, so are we thinking about that correctly, am I thinking about that correctly or are there other offsets within the entertainment segment in 2015, perhaps in the licensing side that you would call out that could observe upside from those retrans growth dollars.
Joe Ianniello: No, I think Anthony, let me just stop you there. I think, yes that's true. I think obviously we had a step up in our new NFL contract as well as Thursday Night Football, so that's kind of a new base, when if you're comparing 2014 versus 2015 and obviously all the incremental retrans dollar's fall to the bottom line. So that's how we manage the cash flow and I would say again, later this year we have two more deals with pretty big MVPD's and we expect to be successful with that and that will build into 2016. And on the reverse comp side, is really again be bigger growth rate because again just from the timing of when those deals expire. So as we look through 2015, 2016 and even into 2017 that continues to ramp. So we're clearly not, at the full run rate. I mean, we gave you $2 billion in 20, we gave you a $1 billion by 17, so you can understand the track, we're on of growth.
Anthony DiClemente: Thanks and just one for Les, if I may, Les?
Les Moonves: Yes.
Anthony DiClemente: When you look out there at ad demand and the ad demand landscape a competition for ad budgets and you look at what Facebook is doing, you know they're dramatically growing the amount of video on the platform, they're merging it with targeting the ability to buy impressions using reaching frequency, those are things that Jo Ann Ross and your ad sell team, already do that. You know they're making a pitch to advertisers that the ROI of digital is superior to the ROI of broadcast TV and so I just wonder, what are you and your ad sells team doing to talk to ad buyers, to talk to agencies to play decent here?
Les Moonves: You know, what number one let me state that, we are in the digital business in a very, very big way as well. So the increase to the digital advertising also affect us and once again, the network group and the digital group are working very closely together, so these increases that Facebook is talking about in terms of video digital, we are getting the benefit of that. You know and I think what they have said is, they are taking away from television, not necessarily from broadcast and there is the big distinction that needs to be made, broadcasting is the big tent. We are not competing directly with digital. I think some of what you're hearing is the noise, is about basic cable. The smaller basic cable or the more niche basic cable networks are competing for those digital ad dollars, but to get the impressions that we're able to get, you talk to the big advertisers. They can't live without us. If General Motors wants to launch a new product, they want 20 million people watching NCIS rather than going on YouTube, it's not to say they won't buy YouTube later on, but the reason we're seeing increases in our pricing right now and every year the upfront is up from where it was before and generally scatter is up before, is network television can't be replaced, you can't do without those huge numbers. Look NBC got $4.5 million for a 30-second spot in the Super Bowl, we're going to get north of $5 million, those aren't dollars going to digital. They realize they want to get to a 120 million people at once and that's why broadcast will always be solid.
Anthony DiClemente: Thanks, Les.
Operator: We'll take our next question from Doug Mitchelson with UBS
Doug Mitchelson: I wanted to ask about the upfront from Les, I think you just kicked it off in this call by offering Super Bowl inventory for $6 million spot.
Les Moonves: Exactly, are you interested, Doug? We've got a few available right now, but they're going fast.
Doug Mitchelson: I'll check with the ad guys, at [indiscernible]. I think, it's always interesting time of year and you have your finger on the pulse, so what's actually happening in the marketplace. How many pilots, do you think you will shoot this year and can you remind us what you did last year? How is the fight for talent, a lot of folks ramping their original efforts and do you see that in cost and availability of talent and how many holds do you have in your schedule and what type of shows are you targeting, any of that would be helpful?
Les Moonves: And the good news is, I said during the call, is our schedule is really very, very solid. There are very few holds, we are probably doing three or four or less pilots, this year. My guess is will be down to eight comedies and eight or nine dramas, right now and how many shows we launched, this year we only launched four new shows in the fall and as I said earlier, they're able to be launched in different places. Are there more, is there more competition out there, probably because everybody is doing original dramas and comedies, but that has never stopped us or we're not having trouble finding the kind of talent that we want and you know what, our batting average in terms of back-end syndication is so much higher than anybody else's. Cable, other broadcasters certainly the MVPD players, that coming to see to CBS is the story is yes, it's tougher to get on the air, but if you're on the air, your chances of success will be lot greater. So it's a very interesting year, but I think we're going to have more than enough to put it in our schedule.
Doug Mitchelson: If I could just follow-up with Joe. I mean, Joe when you think about shows that you and Les are putting up on the board. Do you start to get visibility around now, as to what production cost for next season might start to look like, when you think about sort of older shows that might be expensive that you're taking off versus newer shows? Is there any kind of visibility you're starting to get around that?
Joe Ianniello: Yes, sure. I mean, that's all part of that process, Doug. When we go through that, we're obviously looking at, a show cost X right now and its eight years versus you know Y in its first year that we own it. So we go through all of that calculation as we do it, but obviously as Les, said the best show will always get on the air, but it's a definitely part of the process.
Les Moonves: But unless Doug you should know that Two and Half Men after 12 years is going off the air. It's announced. So that's a pretty high ticket item, you may have heard about Charlie Sheen's salary and then Ashton Kutcher's salary, so by definition maybe the most expensive half hour in our schedule is coming off. You know and so as the result, I fully expect our cost for next season for 2015, 2016 to be less than they're for this season. Mentalist is going off the air as well, which is an older show, but so production cost wise, we're in very good shape.
Doug Mitchelson: Right. Thank you both very much.
Operator: And we'll go next to John Janedis with Jefferies
John Janedis: Les, I think the Bell Media deal initially flew into the radar and so I wanted to ask, are you going to recognize revenue on an upfront licensing and then on a success based basis and to clarify, how replicable is it across geographies, I don't know if there are any potential issues with existing rights? Thanks
Les Moonves: Joe, why don't you talk about how we're recognizing and then I'll talk about for the second.
Joe Ianniello: You know for the brand, John. It's recognized over the term of the agreement, you're going, we're not going to disclose the actual term, but I'll tell you it's a long-term agreement. So for the brand value, for the trademark it's a recognized and then the other part. Think about it more as an output deal, as we produce more and more shows for them. They'll buy those shows at an agreed upon price. So again it really speaks to the value that we were able to achieve hits type of deal to the quality of the content on Showtime. So yes, I think we can replicate this, obviously timing of rights have to line up, Canada is no different than other countries.
Les Moonves: Yes, I mean we talked about ownership of the shows and how much more of the product we own, than even a few years ago. When the thought of an international channel, an international showtime channel would have been impossible because the shows were all owned by other companies, now it's a very different story, as Joe mentioned the timing of these rights are important, but this is potentially a very revolutionary deal, for Showtime as it looks to expand throughout the world.
John Janedis: And that hits in, later in 2015 or in 2016?
Joe Ianniello: It starts 2015, you know it will start right in 2015 and again it will ramp as the shows go, they're launching their SVOD service I believe later in the year. So John, if I was thinking about this. I was thinking about this kind of building into end of 2015, 2016, 2017 and beyond, but because again of the output nature and the SVOD service that Bells is launching.
John Janedis: Great. Thank you very much.
Operator: We'll go next to Laura Martin with Needham & Company
Laura Martin: I'm really curious about this, have you guys ever thought about aggregating that awesomely deep library and offering it to consumers direct and sort of a competitive product to Netflix or is it the money coming out this SVOD players, just so much greater in cash flow strains than doing it yourself and building a global footprint out of that library of yours?
Les Moonves: Laura, actually you know what All Access is basically split into three parts. One is the live feed, where in the market set it's in, which will expand, two is catch up on existing shows that are on the air and the third part, is a big part of our vast library. So right now, for $599 a month you can get all the Star Treks and all the Mission Impossibles and all the I love Lucy's and all the Cheers that you may want. So we are, that is once again it is some of it, it is syndicated out, but it's not exclusive, but you will find that on All Access. So we agree with you, it's a very good idea.
Laura Martin: And those rights are also sold non-exclusively to Amazon and Netflix, right?
Joe Ianniello: That's right.
Les Moonves: That's correct.
Laura Martin: So my other question was on dynamic ad insertion. I'm so happy, this is finally coming and what I'm really interested in it, do you think dynamic ad insertion will be a material revenue driver in 2015 or do you think that has to take to 2 years or 3 years to become a meaningful upside?
Joe Ianniello: Laura, its Joe. I would say, look it certainly not going to be fully realized. It has a lot - it's not going to be realize its full potential there, but if you just think about the consumption and you applied some sort of average CPM, you could see, you could get hundreds of millions of dollars and you could see why we are excited about it. Obviously, when any market place develops, you don't reach the full capacity kind of in year one, year two. So I do think there is a natural ramp here, but again the good news is that, the consumption is there, we can prove it, we have the data. So the monetisation will follow.
Laura Martin: Very helpful, thanks.
Operator: And we'll go next to Jim Goss with Barrington Research
Jim Goss: I've got a couple also, first regarding I was wondering, if there is any trend you can talk about in terms of the international sale concurrent with initial program release and whether that dollar value is increasing as it is with the film industry.
Les Moonves: Yes, the answer is yes. The good news is, the international marketplace and we referred to the growth in competition with MVPD's and SVOD providers and all the normal people. The numbers are going up, the numbers, when we first launch a show as soon as we announced it, it's on our schedule our international sales team launches it and sells it and it basically goes on concurrently with our fall schedule and those numbers rare going up. There is a certain range for CBS shows, there are certain shows we have as part of output deals in certain territories, but the CW shows are going up, the Showtime shows are going up. So the market place is stronger and stronger every year.
Jim Goss: Okay, also I've been amazed in terms of the role of schedule as new as C7 looms and new distribution platform. So I'm wondering, if you could talk about how important it is and whether that's changing that all and whether it's the share of doing an original day in time?
Les Moonves: I mean, the number is over 70% who watched the show live day and time. So as I talked about before, when you take a show like Madam Secretary which clearly is an upscale show, it's an intelligent show putting that show after 60 minutes and before The Good Wife makes great sense and frankly, even though this is the age of everybody saying people want their shows, when they want it, scheduling still matters, having the strength of schedule that we have really matters. The reason, Thursday night was helpful in other ways. When we did our research on Scorpion, we said it's the perfect companion for The Big Bang Theory. The Big Bang is about five nerds, who do comedy. Scorpions is about five nerds, who do action adventure and they are very, very compatible shows. So we put them both on Monday night and Scorpion succeeded a great deal because we got the Big Bang people to watch Scorpion. Obviously, NCIS: New Orleans the people who NCIS, the idea is to keep them there. So scheduling remains an important skill and the strength of schedule and launching new product remains very strong, that 70% number will go down, but still a major factor today.
Jim Goss: Okay and lastly, I was wondering about the importance of news right now in your schedule and in terms of the destabilization that might be occurring with NBC, is there any change in landscape you might look at in that regard?
Les Moonves: No, I'd rather not comment on the issue that NBC is having obviously both of our morning news shows and the evening news Scott Belli have gone up over the last few years and it's rising in a terrific way. I love the product, we're putting on, it's very strong, its 'very forceful and we're looking for the news division to continue to increase.
Jim Goss: Thanks very much.
Joe Ianniello: Good thank you, Jim. And Gwen, let's take one final question, please.
Operator: And we'll take our last question from Marci Ryvicker with Wells Fargo
Marci Ryvicker: Thanks, I've two. First of all, where are you in discussions with the affiliates for CBS All Access, have you started those?
Les Moonves: Yes, we have started them. We are fairly far down the road and I'm optimistic that most of the affiliates will be on board, I think they're very encouraged for the first time actually in this kind of service and over the top service, they're going to share. So we've received a very good reaction from our affiliates and we expect to be able to announce it in the not too distant future?
Marci Ryvicker: Okay and then secondly, with the renewed NFL Thursday night contract, is there anything you're planning to do or anything incrementally you can do to help the margins with that contract next year?
Les Moonves: Just get better games. We actually have terrible games. We have of our eight games like ridiculous blowouts. So we really believe if the schedule gets better and the games get a bit closer, we will do a lot better and the margins will get better and we fully expect that to happen next year and once again, having the Super Bowl, having the extra playoff game that Joe mentioned that we will have next year, it should be a lot of good NFL stuff for us.
Marci Ryvicker: Got it, thank you.
Joe Ianniello: Thank you, Marci and this concludes today's call. Thank you everyone for joining us. Have a great evening.